Operator: Good morning, and welcome, everyone, to the DTE Energy Fourth Quarter 2025 Earnings Conference Call. Today's conference is being recorded. [Operator Instructions] At this time, I'd like to turn the conference over to Matt Krupinski, Director of Investor Relations. Please go ahead.
Matt Krupinski: Thank you, and good morning, everyone. Before we get started, I'd like to remind you to read the safe harbor statement on Page 2 of the presentation, including the reference to forward-looking statements. Our presentation also includes references to operating earnings, which is a non-GAAP financial measure. Please refer to the reconciliation of GAAP earnings to operating earnings provided in the appendix. With us this morning are Joi Harris, President and CEO; and Dave Ruud, CFO. And now I'll turn it over to Joi to start our call this morning.
Joi Harris: Good morning, everyone, and thank you for joining us. I'm happy to be with you today, and I'm excited to talk about a very successful 2025 and our strong position for 2026 and beyond, all driven by our team's commitment to delivering best-in-class results for all of our stakeholders. In 2025, we remain sharply focused on improving reliability, executing on our growth plan and achieving solid financial results while maintaining our commitment to affordability for our customers, and I'm proud to say we've delivered exceptional results across all of these priorities. We achieved significant improvements in reliability and have made substantial progress with data centers by executing our first large agreement for 1.4 gigawatts, which will provide significant affordability benefits for our customers. We are making great progress in advancing our next data center opportunity and are expecting to reach final terms of the agreement in the coming weeks, representing significant upside to our current 5-year plan. We are very excited about this opportunity and look forward to providing more details as this project progresses. We had another strong financial year, earning $7.36 per share in 2025, which is above the high end of our guidance range for the year. We are well positioned to continue solid financial performance in 2026. Our 2026 guidance reflects operating EPS growth of 6% to 8% over our 2025 guidance midpoint. And we are confident in our ability to deliver at the higher end of the range, driven by RNG tax credits at DTE Vantage. As we described on the third quarter earnings call, our updated plan includes significant increases in customer-focused utility investment and deliver 6% to 8% operating EPS growth through 2030. Again, we are confident we will reach the high end of our guidance range each year, driven by RNG tax credits and the flexibility they provide. And as we have said, we expect additional data center opportunities to provide significant upside to our capital plan with an additional 3 gigawatts of data center load in advanced discussions. Let me move to Slide 5 to highlight our improvements in reliability and the execution of our cleaner energy transition. I'm very proud that over the past year, we continued to deliver meaningful improvements in system reliability for our customers, driven by disciplined strategic investments, impactful process improvements and more favorable weather conditions. As a result, we achieved our best all-weather SAIDI performance in nearly 20 years with a nearly 90% reduction in average outage duration compared to 2023. When storms did occur, our teams executed exceptionally well, restoring power to 99.9% of impacted customers within 48 hours. These results demonstrate that we are firmly on track to meet our long-term reliability goals, reducing the number of power outages by 30% and cutting outage duration in half by 2029. We are confident that we will achieve these reliability goals due to the continued execution of our focused 4-point plan. First, we are quickly transitioning to a smarter grid by significantly increasing the technology on our system with more than 2,200 smart devices across our distribution circuits as we remain on track to effectively automate our entire system by 2029. Secondly, we are aggressively updating our existing infrastructure, replacing and upgrading poles, cross-arms, transformers and other pole top and substation equipment. The third focus is to rebuild significant portions of our grid, prioritizing the oldest sections that are most vulnerable have made a significant impact. Customers have experienced a 90% increase in reliability where we have executed this work. And finally, we remain heavily focused on our tree trim efforts. We have trimmed over 40,000 miles of trees since 2015 as this remains one of the most effective methods to improve reliability. We are undertaking these intensive focused efforts to enhance our system so we can deliver for our customers, and we are seeing the results that demonstrate these investments work. We have also made tremendous progress advancing our transition to cleaner energy. Last year, we placed 330 megawatts of solar projects in service with an additional 745 megawatts currently under construction. Today, we have approximately 2,500 megawatts of renewable generation online, advancing our sustainability objectives and delivering lasting value for our customers. We have a number of major projects that are on track to be completed this year, including our 220-megawatt battery storage project located at the site of our former Trenton Channel Power Plant. We will also be completing the Belle River Power Plant conversion in 2026, converting it from burning coal to a 1,300-megawatt natural gas peaking resource. I am fully confident in our ability to successfully execute the significant renewable investments included in our 5-year plan. We will build around 900 megawatts of renewables on average per year over the next 5 years, and our team has built an extensive development pipeline to support this growth. We have solid land positions and deep experience moving these projects through the interconnection and permitting processes. And importantly, we have been able to safe harbor investment tax credits through 2029 to support more affordable investments for our customers. Let me move to Slide 6 to provide more details on our long-term plan. We increased our 5-year capital investment plan by $6.5 billion compared to the prior plan, driven by investments for the first data center project and the continued need to modernize our utility assets. These additional investments are strategically focused to support data center load growth, advanced cleaner generation and to enhance distribution infrastructure that will drive continued improvement in reliability. As I mentioned, we have additional data center opportunities beyond the initial 1.4 gigawatts. We are in advanced discussions with hyperscalers for over 3 gigawatts of new load, and we have a pipeline of 3 to 4 gigawatts behind that. We also expect longer-term growth opportunities through the expansion of these initial hyperscaler projects. The generation investments needed to support these additional opportunities will be additive to our current 5-year plan, providing significant incremental capital investments above the existing plan. I'll move to Slide 7 to detail our progress on data center development. As I mentioned, we executed and received MPS approval for the contract supporting 1.4 gigawatts of new data center load and construction has started. This is an important step in our growth strategy and a benefit to our customers. These contracts include provisions that will protect existing customers, including a 19-year power supply contract with minimum monthly charges and a 15-year energy storage contract. The load will ramp over 2 to 3 years, allowing us to plan the necessary infrastructure accordingly. While existing capacity supports the near-term ramp, we are developing new energy storage to meet the full requirements, which drives nearly $2 billion of incremental storage investment, along with additional tolling agreements and the associated FCMs. These projects are progressing well to meet the customer's ramp time line. In 2025, we advanced discussions with multiple hyperscalers, representing approximately 3 gigawatts of additional load, and those conversations are progressing well. We are expecting to reach final terms of an agreement with an additional customer in the coming weeks. This next data center agreement will require a combination of new generation and storage resources, providing significant capital upside to our plan. This contract will be the first step towards executing the additional 3 gigawatts of demand in late-stage negotiations, which we have said could drive our operating EPS growth to over 8% later in the plan. As we advance the related contracts and move this next project through the regulatory approval process by midyear, we will provide more details on the capital upside and the impacts to our long-term plan. Although we will be filing for the approval of a large load customer tariff, we expect the next data center contract to move through the standard MPSC review process for special contracts. The agreement will provide significant benefits and protections for our customers, including meaningful affordability benefits. The agreement will also support significant investment in generation and storage. I'm looking forward to providing more updates on this project as the contracts and approvals move forward. Beyond the 3 gigawatts that are in advanced discussions, we are engaged with multiple additional opportunities that could add another 3 to 4 gigawatts of new load, and we expect additional demand from our initial customers as they execute their plans to expand over time. To support this significant demand, we anticipate the need for new baseload generation and storage investments. We have taken steps to prepare for additional combined cycle gas turbine developments that are CCS capable, which could support up to 2.8 gigawatts of new load. Our extensive development expertise and strong land positions give us flexibility to pursue renewable and storage build-outs to support these customers. These incremental generation requirements will be incorporated into our 2026 integrated resource plan filing, ensuring alignment with our long-term strategy and regulatory commitments. Let's move to Slide 8 to discuss our commitment to customer affordability. We have a proven track record of executing our investment plans to deliver customer value while managing affordability. As the chart illustrates, our average annual bill increase over the past 4 years is well below both the National and Great Lakes region averages, and we remain fully committed to keeping affordability at the center of our strategy as we move forward. We are delivering top-tier affordability through continued superior cost management and operational excellence. We're advancing a number of initiatives designed to continue to provide value and affordability for our customers. Importantly, near-term data center growth will create substantial affordability headroom, driving $300 million of annual benefits for our existing customers once fully ramped, which is a significant savings for our customers. Our culture of continuous improvement ensures that O&M and capital investments remain efficient and disciplined. A key area where we expect to create substantial value for our customers is through the use of new technologies. Our advanced analytics models are uncovering opportunities that will drive significant operational efficiencies that lower costs and further improve how we serve our customers. These opportunities include automating back-office work to more effectively manage preventative maintenance and storm response. Driving customer-focused efficiencies through technology is a top priority for me and our entire team, and I look forward to delivering on this commitment. In addition, the transition from coal to natural gas and renewables further reduces O&M costs while our diverse energy mix delivers stable fuel costs for our customers. And finally, the Inflation Reduction Act supports our transition to cleaner energy, helping to make these investments more affordable for customers. Today, our residential electric bill has become less than 2% of the median household income of our customers, and our residential bills are 18% below the national average. Importantly, we continue to expand our customer assistance programs for our most vulnerable customers who we know need the most support. In 2025, DTE helped vulnerable and income-qualified customers access $125 million in energy assistance through partnerships with nonprofit agencies across Michigan. And DTE donated $15 million to the Heat and Warm Fund, the Salvation Army and the United Way to provide critical support to those in need across the state. All of these efforts I've described demonstrate our ongoing commitment to delivering safe and reliable energy with a clear focus on affordability for all of our customers. With the upcoming gubernatorial election in 2026, there has been some discussion on the impact of energy costs on overall affordability in Michigan. As you can see, DTE continues to deliver meaningful, measurable value for customers while maintaining a strong focus on affordability. We will ensure that our customers and stakeholders understand the value we provide in our progress on delivering safe, affordable, reliable and cleaner energy. So to wrap up, we had an extremely successful year in 2025 and are well positioned to deliver another great year in 2026. I'm genuinely excited about our long-term plan and the opportunities ahead to deliver for all stakeholders, including providing exceptional service to our customers and communities and driving continued strong financial performance for our investors. With that, I'll hand it over to Dave. Dave, over to you.
David Ruud: Thanks, Joi, and good morning, everyone. Let me start on Slide 9 to review our 2025 financial results. Operating earnings for the year were $1.5 billion, which translate to operating EPS of $7.36 per share. This is above the high end of our 2025 guidance range. You can find a detailed breakdown of operating EPS by segment, including a reconciliation to GAAP reported earnings in the appendix. I'll start the review at the top of the page with our utilities. DTE Electric operating earnings were approximately $1.2 billion for the year, which is $112 million higher than 2024. The main drivers of the earnings increase were implementation of base rates, weather favorability, lower storm expenses and higher earnings from our clean energy projects. This was partially offset by higher O&M and rate base costs. Moving on to DTE Gas. Operating earnings were $295 million, $32 million higher than 2024. The earnings increase was driven by colder winter weather and implementation of new base rates, partially offset by higher O&M and rate base costs. As we mentioned last quarter, O&M at DTE Gas was higher in 2025 than it was in 2024 as O&M returned to more normalized levels following onetime lean operational measures and other unsustainable reductions that were implemented over the past few years in response to the warmer weather we were experiencing. Let's move to DTE Vantage on the third row. Vantage had another strong year in 2025 with $162 million of operating earnings. The increase from 2024 was primarily due to RNG production tax credits and new project development in the custom energy solutions space, partially offset by lower investment tax credits than in 2024 and lower steel-related earnings. On the next row, you can see Energy Trading finished the year with operating earnings of $114 million. The strong performance in our contracted and hedged physical power and physical gas portfolios that we experienced in 2024 continued into 2025 as was expected. This resulting strong performance allowed us to leverage the favorability across the company to support future years. Finally, Corporate and Other was unfavorable by $73 million year-over-year due primarily to higher interest expense and onetime tax items. Overall, DTE earned $7.36 per share in 2025, delivering above the high end of our 2025 original guidance range. Let's move on to Slide 10 to discuss our 2026 outlook. As Joi mentioned, we are well positioned to deliver another strong year in 2026. Our 2026 operating EPS guidance range is $7.59 to $7.73 per share, which provides 6% to 8% growth over our 2025 guidance midpoint, and we are confident that we will deliver at the high end of the guidance range. Utility growth will be driven by customer-focused investments, including distribution and cleaner generation investments at DTE Electric and main renewal and other infrastructure improvements at DTE Gas. DTE Vantage will see growth from the development of new custom energy solutions projects and continued contributions from RNG production tax credits. At Energy Trading, we continue to see strength in our structured physical power and physical gas portfolios, giving us confidence in achieving our targets for 2026. And at Corporate and Other, the change is driven by higher interest expense as we continue to fund our valuable investments across the company. Let's turn to Slide 11 to discuss our balance sheet and equity issuance plan. We continue to focus on maintaining solid balance sheet metrics. To support the significant increase to our capital investment plan that we need to execute for our customers, we are targeting annual equity issuances of $500 million to $600 million in 2026 through 2028 with similar levels through 2030. This level of equity supports the increased capital in our plan, including the storage investments related to our data center agreement while maintaining our strong credit metrics. We will continue to maximize the use of internal mechanisms to issue equity, but will also incorporate manageable external issuances. We have established an equity ATM program to effectively manage a portion of our total equity needs. Our 5-year plan fully incorporates these equity needs and continues to deliver 6% to 8% operating EPS growth with a bias to the upper end each year through 2030. Our long-term plan also includes debt refinancing and new debt issuances. We expect to strategically utilize hybrid securities to support our financing plan, and we will continue to manage future debt issuances through interest rate hedging and other opportunities. Importantly, we remain focused on maintaining our strong investment-grade credit rating and solid balance sheet metrics as we target an FFO to debt ratio of approximately 15%. let me wrap up on Slide 12, and then we'll open the line for questions. DTE continues to consistently deliver for all our stakeholders. We delivered solid results in 2025, achieving operating earnings of $7.36 per share, which is above the high end of our guidance range. Our 2026 guidance reflects operating EPS growth of 6% to 8% over our 2025 guidance midpoint and RNG tax credit gives us confidence that we will deliver at the higher end of that range. Our 5-year plan provides high-quality, long-term 6% to 8% operating EPS growth through increased customer-focused utility investments, with utility operating earnings making up 93% of our overall earnings by 2030. Our capital investment plan increased by $6.5 billion over our previous plan to $36.5 billion over the 5-year period. This increase is driven by the recent data center transaction and the continued need to modernize our utility assets and provide cleaner generation. We are confident we will reach the high end of our guidance range in each year, driven by RNG tax credits and the flexibility they provide. Additional data center opportunities will provide upside to this 5-year capital investment and operating EPS growth plan. Overall...
Operator: [Operator Instructions] We'll go first to Shar Pourreza at Wells Fargo.
Shahriar Pourreza: So just to build a little bit on the prepared. So obviously, the data center announcement is on schedule. It sounds like it will come with material CapEx and accretive to earnings. And obviously, Joi, you mentioned it's significant upside in your prepared. Can you just maybe elaborate as we're thinking about the 6% to 8% that's been out there, could this sort of new customer actually step function change the trajectory or lengthen and strengthen the top end? Or do you need to see more deals materialize before revising the longer-term projections?
Joi Harris: Yes. As we included in the deck, Shar, and we said all along that 3 gigawatts of incremental data center load would take our compound annual growth rate above 8% between '27 and '30. This additional data center, which is a part of that 3, we believe will take us to at least 8% in that time frame. And so the capital would begin coming into the plan in the 2027 time frame and continue from there. So we feel really great about our 6% to 8% and the potential that this -- we have to reach the high end each year with our current plan. And this new data center would have the opportunity to take the compounded annual growth rate between '27 and '30 to 8% and then anything above that, approaching that 3 gigawatts gets us 8% plus.
Shahriar Pourreza: Okay. That's helpful clarity there. And then just do you think you'll see the third deal announced by Q3 EEI time frame?
Joi Harris: Yes. We're working on the second deal. So we got to get that one nailed down, and we're continuing discussions with the hyperscalers. And we are working hard to see if we can get yet another deal behind that one. But the way this will work out with the second deal and any deals that we achieved in that time frame, we would update our plans and then potentially give you all some indication in Q2. We're going to use the standard process for approval of the contracts associated with this deal. So that will play out over the course of the summer. And we've got to let that process play out. But we figure by Q2, at the latest Q3, we'd be able to communicate how much capital we'd be putting in our plan and, of course, have detailed conversations at EEI.
Shahriar Pourreza: Got it. Perfect. And then just lastly, I mean, obviously, there's been some data center pushbacks in Michigan and some of the surrounding states. And obviously, we saw one data center pull out despite having sort of an assigned ESA. I guess any specific lessons learned Joi around the Oracle process? And just remind us if you need final MPSC approval to count this load in the IRP or just final terms?
Joi Harris: Yes. So we recognize the concerns that have been raised by some of the large data center projects. And we've been really clear that for our customers, reliability always comes first, and we're always working on affordability. That said, in all of our discussions with the data centers, we've made it clear that these contracts have to be structured in a way that the revenues fully support their load and cover all the associated costs. So at no time, will our customers be burdened with the cost of bringing on new data centers. And if you recall, obviously, this Oracle deal gives our existing customers $300 million annually of affordability benefits once they reach the full ramp. We're encouraging the data center developers to become more engaged at the local level. And that's where we think that this -- the concerns can be best addressed. So we're seeing projects that are making its way through zoning and also site plans, which tells us the right conversations are happening. But again, we remain committed to transparency, collaborations and really protecting the interest of our communities and our customers along the way. As for do we need to see this get approved in the IRP or do we need to see this get approved by the commission? Yes, we'd have to get the approval from the commission before we would add this into our plan. Data center load is but one of many inputs that we intend to incorporate into our Q3 IRP filing.
Operator: We'll move next to Michael Lonegan at Barclays.
Michael Lonegan: So to piggyback on that pushback question on data centers, obviously, Michigan is seeing a significant number of moratoriums in local communities. Just wondering if any of the potential projects in your pipeline are located in any of these areas with a moratorium, if you see any risk to advancing these projects or delays?
Joi Harris: The contract that we are working on right now, we don't see any potential delays. Let me just say the moratorium, some of the moratoriums that you're hearing about, the communities are not suitable for large load data centers to begin with. So there really is no impact to the pipeline. The folks that we've been talking to have land positions. Some have made it through the zoning process already and are working on site plans. And like I said before, they're engaging the local communities, and we believe that's the game changer and really shifting the sentiment so that the communities understand the benefits that they will realize once these data centers land in the backyard.
Michael Lonegan: Great. And then secondly for me. So obviously, affordability is a concern across the country, but particularly a lot of rhetoric from the midterm election candidates in Michigan talking about rate freezes and the like. In this context, how are you feeling about heading into the final decision in your electric rate case? What gives you confidence you'll land a constructive outcome there?
Joi Harris: So I'll tell you that we always put affordability as the governor for our growth plans and our investments and affordability remains top of mind for us, which is why as we make these investments, we're trying to keep the bills as low as possible and deliver the reliability improvements and then continue our work to transition to cleaner generation. We've seen support of our investments in the staff testimony, in particular, they supported the expansion of the IRM to roughly $1 billion over the next couple of years. And in fact, they even recommended that we pull forward $200 million worth of pole-top maintenance into 2026. So we feel really good about the prospects for a constructive outcome there. The staff position was generally at what we expected. And we are awaiting -- anxiously awaiting the 19th, so we can have a full view of their support. But at this point, we know that affordability is top of mind, and we're going to work hard to make sure that our customers, particularly those in need, get the support and these investments continue to deliver value.
Operator: We'll move next to Julien Dumoulin-Smith at Jefferies.
Ivana Ergovic: It's Ivana Ergovic for Julien. I just had a question, given the utility CapEx increases and financing needs, how -- and especially if you are expecting additional couple of megawatts -- gigawatt of load, how does that change the thought process on asset rotations and monetization for Vantage?
Joi Harris: Yes. So Vantage has served us well for over 20 years, and they continue to have a very strong development pipeline. In fact, we've got data center opportunities that we're looking to close out in the near term here that really represents a really nice vertical in light of the tightness that exists in the market all across the country. That said, we are always looking to deliver value for our shareholders, and we have really big investments that we have to make in our utilities. And you've seen that we've made this strategic shift where we're doubling down in our utilities and holding Vantage essentially flat. But they've got a really solid growth pipeline that we want to continue to explore, particularly around data centers. And as always, we'll continue to examine opportunities to deliver value for our shareholders.
Operator: Next, we'll go to David Arcaro at Morgan Stanley.
David Arcaro: Maybe just to follow up on that Vantage opportunity you just mentioned, Joi. I was just curious if you could give any other details around how big of a potential data center project Vantage is going after here? What's kind of the profile of the different opportunities that you're seeing, is this on-site power, behind-the-meter type power project?
Joi Harris: Yes. Yes, David, it is behind-the-meter primary power. Think of it as several hundred megawatts of load, and we see these types of opportunities across the country. In fact, when we started this work, I thought it was going to be the unicorn. And clearly, it is not. So there is a pipeline that the team is exploring. We are looking to close out the discussions with the counterparty. Still too early, but we're down to some final terms that we're ironing out. Really excited about it. And the team has come up with, I think, a very creative solution that could be applied to other similarly situated colocators across the country. So it could be a differentiator for us.
David Arcaro: Okay. Excellent. And is that an opportunity that you'd be able to kind of quantify in terms of the CapEx investment here also similar to the other regulated data center opportunity for a CapEx addition midyear?
Joi Harris: Yes. That will be the ideal time to give you an update on the capital for that particular investment, yes.
David Arcaro: Okay. Great. Got it. Then I was just wondering if you could comment on -- we've seen some very widely varying ALJ recommendations when it comes to ROEs in Michigan. I was wondering if you could give your latest perspective on how do you interpret the latest recommendation, the 8.2% ROE that we saw recently, just feedback or what you're expecting from the commission in terms of overall direction of travel with regard to regulation and ROEs in the state?
Joi Harris: Yes. If you recall, the Chair of the commission has already stated that ROEs are where he would like to see them given the macroeconomics and that they felt appropriate. So we're anticipating that in our case, we will see our ROE remain flat. And if you recall, the ALJ in our case, even recommended a 9.9% ROE. So I think we feel really good about our position. And I believe that given the current borrowing cost, the recommendation for 8.2% ROE is simply not a reasonable benchmark under these conditions. But like I said, we've gotten all the positive indicators that we could possibly hope for in our case, and we'll know for sure on Thursday.
Operator: We'll go next to Michael Sullivan at Wolfe Research.
Michael Sullivan: I wanted to ask on just the resource planning for some of these incremental load opportunities that you have, particularly with regards to new gas. Can you -- it sounds like you got a couple gigawatts in the hopper on top of what's planned to replace Monroe. But yes, can you just square like the timing of when you think you can get new gas to serve some of these load opportunities?
Joi Harris: Yes. So just given some of the lead times, we've taken steps to get into the MISO queue and put down payments on turbines so that we are well positioned towards the tail end of our plan to bring on the replacements of Monroe and address any other new load that may come into our plan. That said, the IRP will be the ultimate determinant of the resource mix that is required to serve new load. And that process will begin in Q3 when we file our next case. But I will tell you from our last run of our IRP, we know that we have to have a large dispatchable 24/7 resource once Monroe retires, which is why we've set ourselves up for CCGT that's CCS capable, and we'll begin the work of vetting that with intervenor stakeholders as we file our IRP.
Michael Sullivan: Okay. Great. Maybe this one is for Dave. Just given some of the weather to start the year and volatility in power prices across the country, are we potentially looking at another year of trading outperformance? Or any color you can give there?
David Ruud: As you saw, trading had a great year in '25 as we saw some of those good margins continue in gas and power. And we do see some of that, that -- because some of those contracts are 1 to 3 years, some of that continues into 2026. We're still -- we guide to the $50 million to $60 million for trading, but there are some tailwinds, as you mentioned, based on some of the contracts that we've had in place that are fully structured and hedged through the year.
Michael Sullivan: Okay. And if I could just sneak one more in, sticking with you, Dave. Just remind us how much incremental equity as a percent of increased CapEx general rule of thumb?
David Ruud: Yes. Any incremental equity we bring in is approximately 40% of the CapEx that we would have. That always will vary in some of the years based on the timing of the cash flows and tax credits. But over time, it does work out to about 40% of equity for the additional capital that will come in.
Operator: And next, we'll move to Travis Miller at Morningstar.
Travis Miller: The answer to that question just brought up another quick question for me and then I had my original question. But on that 40% of equity, is that in line -- if we tie that to the data center contracts, is that in line with the way the data center financing portion of the contract is? Or is that extra leverage relative to the data center contract, if that makes sense?
David Ruud: Well, I think for the capital we would bring in 40% of that we would see as equity. I don't follow the data center contract part of that. But I think as we brought the capital in, it would be 40% would be equity over time.
Travis Miller: Okay. I was just tying back to the implied return on capital within the data center contract, but that makes sense. Okay. Original question was, how does the data center growth impact your rate case cadence, do you think over the next 4, 5 years with the ramps coming on? Any change to that since it sounds like a lot of the CapEx is covered in the data center contracts themselves?
Joi Harris: Yes. I mean this will have to play out over time. Listen, the biggest way for us to stay out of rate cases is to grow the IRM. That's the biggest lever that we have before us. And we're continuing to work that with the commission staff, and they seem supportive of at least our first go round of expanding the IRM. And of course, as we bring on data center load, that gives us more opportunities as well to potentially look at putting distance in rate cases.
Operator: Next, we'll move to Anthony Crowdell at Mizuho.
Anthony Crowdell: Congrats on the quarter. Quickly, just where did you end the year on FFO to debt?
David Ruud: Yes. We ended the year at 15 -- almost 15.5%, 15.4% FFO to debt.
Anthony Crowdell: And then just Joi or Dave, I know Dave gets upset when I don't ask him the question. Just you have big gubernatorial races going on there. I think there's 10 candidates, just any conversations, any color you could have on DTE's position with the large slate of candidates.
Joi Harris: Yes. Well, let me start by saying DTE is always committed to a bipartisan approach for policymaking, which means we've had strong relationships on both sides of the aisle and really durable policies. Obviously, affordability is a top question on the campaign trail, and we take it very seriously for obvious reasons. What we're seeing in the latest round of data is that Americans clearly are concerned about the cost of groceries, health care, housing and utilities in that order. And as you've heard in my opening remarks, we're ramping up our outreach to candidates. We're delivering solid focused messages around our achievements, particularly as it relates to reliability and the fact that DTE Electric bill growth since 2021 has been top decile at only 3% when the national average is at more like 24%. These investments are working, and that also drives down the emergent costs related to storms. And we had the best year we've had in 20 years for reliability. Lastly, we talked to them about the things that we're doing to protect the most vulnerable around us, and that's advocating for energy assistance, but the biggest lever we have to address affordability is economic development that comes with load growth done right. And case in point, the Oracle deal is going to yield $300 million worth of affordability benefits once they reach their full ramp. That's the kind of conversation that we're having. These are the solutions that we want to address, among other things. And I think the candidates are receiving the message well, and we're going to continue those conversations as the elections unfold.
Anthony Crowdell: Great. And then hopefully, just one last one. I don't know if you could comment on it. I did believe the Michigan Attorney General was looking to have the Public Service Commission looking to some of the data center special contracts. Do you know if there's a timing or a deadline on when they -- the commission will get back to the Attorney General?
Joi Harris: Yes, there's a 21-day period, I believe, that the commission has to file their response to the Attorney General's request.
Operator: And that concludes our Q&A session. I will now turn the conference call back over to Joi Harris for closing remarks.
Joi Harris: Well, thank you, everyone, for joining us today. I'll close by saying that DTE had a great year in 2025 and is well positioned to achieve our goals in 2026. I'm super excited about our long-term plan and the opportunities ahead, and I look forward to seeing many of you on the road throughout the year. Have a great morning, stay healthy and safe.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.